Operator: Good day, ladies and gentlemen, and welcome to The Cheesecake Factory, Incorporated First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. And as a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Ms. Stacy Feit, Senior Director of Investor Relations. Ma'am, you may begin.
Stacy Feit - Cheesecake Factory, Inc.: Thanks, Amanda. Good afternoon and welcome to our first quarter fiscal 2018 earnings call. On the call, today are David Overton, our Chairman and Chief Executive Officer; David Gordon, our President; and Matt Clark, our Executive Vice President and Chief Financial Officer. Before we begin, let me quickly remind you that during this call, items will be discussed that are not based on historical facts and are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results could be materially different from those stated or implied in forward-looking statements as a result of the factors detailed in today's press release, which is available on our website at investors.thecheesecakefactory.com and in our filings with the Securities and Exchange Commission. All forward-looking statements made on this call speak only as of today's date and the company undertakes no duty to update any forward-looking statements. David Overton will begin today's call with some opening remarks, Matt will then take you through our financial results in detail, and provide our outlook for the second quarter and the full-year 2018. Following that, we'll open the call to questions. With that, I'll turn the call over to David.
David M. Overton - Cheesecake Factory, Inc.: Thank you, Stacy. Comparable sales growth of 2.1% at The Cheesecake Factory restaurants was very strong exceeding our guidance range and meaningfully outperforming the casual dining industry. The strength was broad based with nearly all of our geographies posting positive sales and outperforming their respective markets. We believe our initiatives along with a better consumer spending environment contributed to our improved sales performance. Utilizing digital and social media campaigns, we continue to highlight our fresh, high-quality ingredients and preparation techniques, as well as our new winter menu items. These are key components of The Cheesecake Factory experience, which also translate well to our off-premise business. Delivery with a third-party provider is now available in 95% of our restaurants. Sales continue to grow and our operational execution has been solid. In addition, all domestic Cheesecake Factory locations are now live with online ordering. We are seeing good initial reception and receiving great guest feedback, confirming the convenience this new platform offers. Importantly, the rollout was very smooth from an operational perspective. We expect online ordering to support to-go sales growth as we make our guests aware of the user-friendly option to enjoy Cheesecake Factory. Looking ahead, we continue to expect to open as many as four to six restaurants including one Grand Lux Cafe. We expect our first opening in the third quarter. We now expect as many as four restaurants to open internationally under licensing agreements in 2018, including the first location in Beijing which opened in January, and our second international licensed location of the year will open soon in Riyadh, Saudi Arabia. In closing, we're proud that The Cheesecake Factory was once again named brand of the year in the casual dining category of the Harris Poll EquiTrend Study, underscoring strong guest affinity for our brand and our continued relevance as a preferred dining destination. We were pleased to see these attributes reflected in our sales trend during the first quarter. We are committed to delivering exceptional food quality, service, and hospitality, which we believe will continue to differentiate us in the industry and drive profitable sales growth over the long term. In the near term, we believe we can continue to take share in 2018, which will better position us to manage through the cost pressures. With that, I will now turn the call over to Matt for our financial review.
Matthew Clark - Cheesecake Factory, Inc.: Thank you, David. Total revenues for the first quarter of 2018 were $590.7 million including $12.4 million in external bakery sales, as compared to total revenues of $563.4 million in the prior-year period. Notably, we returned to a positive comparable sales trend as we anticipated. With the very strong 2.1% increase, The Cheesecake Factory restaurants outperformed the industry as measured by Knapp-Track by 200 basis points and 320 basis points on a 2-year stack basis. While our comparable sales growth exceeded the high end of our expectations, reported earnings per share of $0.56 is not representative of our restaurants' operating performance in the quarter. There are two specific areas I would like to call to your attention. First, we experienced about a $0.06 negative impact from higher-than-expected insurance costs, including group medical and workers' comp. As a reminder, since we are self-insured, the cost we report in any given quarter are based on actual claims activity and accruals, so we can experience variability quarter-to-quarter and year-to-year. Second, we saw about $0.05 of pressure from the timing of some one-time costs versus our forecast, including legal settlement expenses. This $0.05 is just a pull forward, so we do not expect it to have an impact on our full year earnings outlook. Absent these two items, our earnings per share would have been within our guidance range. Now, for a review of the balance of our P&L. Cost of sales was 23% of revenues, an increase of about 10 basis points from the first quarter of last year. There were a variety of pushes and pulls during the quarter. However, total inflation was slightly lower than we had anticipated, primarily driven by more favorable produce costs. Labor was 35.7% of revenues, an increase of about 130 basis points from the same period last year. A majority of the year-over-year increase is attributable to hourly labor, including higher wages, overtime and training costs as we focused on ensuring the right staffing support for the increased traffic levels and to protect the guest experience. The higher group medical insurance costs I referenced previously also drove some of the labor de-leverage year-over-year. Other operating costs were 25.1% of revenues, up 100 basis points from the same period last year. This was primarily driven by higher marketing costs, repairs and maintenance, and the additional workers' comp insurance costs I discussed earlier. G&A was 6.6% of revenues in the first quarter of fiscal 2018, up 20 basis points from the same quarter of the prior year, primarily attributable to the legal settlement expenses I mentioned. Preopening expense was approximately $1.1 million in the first quarter of 2018, about in line with the same period last year. And our tax rate this quarter was approximately 13.4%. Cash flow from operations was approximately $75 million. Net of roughly $31 million of cash used for capital expenditures, we generated about $44 million in free cash flow during the first quarter and we completed approximately $35 million in share repurchases during the first quarter. That wraps up our financial review for the first quarter of 2018. Now, I'll spend a few minutes on our outlook for the second quarter and full year 2018. As we've done in the past, we continue to provide our best estimate for earnings per share ranges based on realistic comparable sales assumptions and the most current cost information we have at this time. These assumptions factor in everything we know as of today, which includes quarter-to-date trends, what we think will happen in the weeks ahead, and the effect of any impacts associated with holidays or weather. For the second quarter of 2018, we are estimating comparable sales in a range of 0.5% to 1.5% at The Cheesecake Factory restaurants which is consistent with our strong first quarter trends when adjusting both periods for the spring break calendar shift impact with diluted earnings per share between $0.78 and $0.82. Turning to full year 2018, we expect comparable sales at The Cheesecake Factory restaurants to run in the 1% to 2% range in the back half of the year, which drives our current estimate for full year comparable sales to a range of 1% to 2%. We are now estimating diluted earnings per share between $2.62 and $2.74, which includes the additional $0.06 in insurance costs I discussed. Further on the cost side, we are seeing our food inflation moderate in some categories, including dairy and produce. In turn, we now expect approximately 2.5% inflation for our 2018 market basket. With regard to labor, we have seen the staffing environment become even more competitive with hourly wage rate inflation now running closer to 6%. We now expect our cash CapEx in 2018 to be between $80 million and $90 million, including as many as four to six planned openings. We currently anticipate growth capital contributions to the two Fox Restaurant Concepts to range between $20 million and $25 million. We plan to balance these growth investments with continued return of capital to shareholders via our dividend and share repurchase program in 2018. In closing, job number one for us was to return The Cheesecake Factory restaurants to a positive comparable sales trend. We achieved that objective with very strong sales performance in the first quarter. As we indicated in our updated guidance for 2018, we believe we can obtain our long term target comparable sales range of 1% to 2% this year. Although we are operating in a challenging cost environment, our expectations for continued top line performance should better position us to manage through the cost pressures and recapture margins over time, similar to past business cycles. With that said, we'll take your questions. In order to accommodate as many questions as possible, please limit yourself to one question and then re-queue with any additional questions. Operator?
Operator: Thank you. Our first question is from the line of Joshua Long of Piper Jaffray. Your line is open.
Joshua C. Long - Piper Jaffray & Co.: Great. Thank you for taking my question. Want to see if I might be able to drive into the comps during the quarter in terms of just the price mix contribution and then also the spring break shift that you mentioned. It sounds like that might have helped or could have impacted the results there, if you could kind of just parse through those pieces please.
Matthew Clark - Cheesecake Factory, Inc.: Sure, Josh. So, pricing in the first quarter was 2.7% and mix was flat. So, that put traffic at down just 0.6%. We estimate that the spring break shift was somewhere 50 basis points to 80 basis points. I think there's a little bit of noise year-over-year with some of the weather in those things. And for us weather was immaterial, so I'll just kind of give that perspective as well. And then, I think it's important to look at it throughout the quarter. I think we saw sales improve both on an absolute basis and versus the industry even when factoring in the spring break shift.
Joshua C. Long - Piper Jaffray & Co.: Great, thank you for that. And in terms of just that cadence, were they kind of back half loaded or did you kind of play out relatively evenly, anything that you could share on geography alternatively?
Matthew Clark - Cheesecake Factory, Inc.: So when we gave guidance the last time, obviously we were looking for positive comparable sales. And so, you can infer from that, that we started out the quarter positive, but as I noted, I think we saw that the trends did strengthen throughout the quarter, again, both on a relative and industry basis. From a geographies perspective, we were positive in every geography, but one. We continue to see very good performance from some of the strongest markets in California, Texas, and Florida, so it's a very positive and balanced quarter.
Joshua C. Long - Piper Jaffray & Co.: Great, thank you. I'll re-queue.
Operator: Thank you. Our next question comes from the line of Jeffrey Bernstein of Barclays. Your line is open.
Jeff Priester - Barclays Capital, Inc.: Hey, guys, this is actually Jeff Priester on for Jeff Bernstein. So just on the labor with it now running at about 6%, is there any more color you can provide on a geographic basis? Are you seeing that across the country, is it just specific markets? Then is there an opportunity to become more efficient in the restaurant with that labor without impacting the guest experience? And then I have one follow up. Thanks.
Matthew Clark - Cheesecake Factory, Inc.: So, geographically, obviously there's two pieces. Minimum wage does drive a piece of the wage inflation, and then I think with the accelerated traffic in our comp store sales, we're up about 300 basis points quarter-over-quarter and improved throughout the quarter and also overtime was about 50% of the labor pressure that we saw to ensure the appropriate staffing levels. Obviously, that is manageable to some degree if you can then get staffed up for the higher traffic levels. I think that the biggest defense in this environment where labor is so important is really around retention. We focus most of our efforts in attracting and then retaining and training our teams. So, we continue to look to be efficient as always, but I think that the retention piece is probably the most important, so that if we can get staffed up to the right levels, we can reduce the overtime going forward.
Jeff Priester - Barclays Capital, Inc.: Great. And then longer term, assuming you do acquire North Italia and Flower Child, you're about to have six brands in this portfolio. So can you kind of give us a sense of what you think maybe can be the second brand longer term out of the five other than the core Cheesecake?
Matthew Clark - Cheesecake Factory, Inc.: I think that's still a year-and-a-half to two years out. And so, we'll definitely provide more color on that as we go forward. We're believers in all of the brands that we are working on and investing in, and believe that there is a place with white space for all of them. Otherwise, we wouldn't be pursuing them and investing in them. So I think it's maybe a little bit early to call out which one we would be working towards. I think, at this point, we have several irons in the fire that all have good long-term opportunity.
Jeff Priester - Barclays Capital, Inc.: Great. Thanks.
Operator: Thank you. Our next question is from the line of Gregory Francfort of Bank of America. Your line is open.
Unknown Speaker: Thanks. It's actually John Michael on for Greg. I was just going to ask on delivery. Just wondering if you can give us sort of an early assessment of what you're seeing and whether or not the results are quantifiable at this point and anything on that?
David M. Gordon - Cheesecake Factory, Inc.: Yeah. Thanks for the question, John. I think that we still feel really great about the delivery program, where 95% of the restaurant is now. We continue to feel like the delivery sales are 60% to 70% incremental for us. From an operating perspective, our restaurants continue to be able to execute the delivery program relatively seamlessly with the recent integration into our POS system from our main delivery provider. It's help made that experience within the four walls of the restaurant much smoother for the operators. It also reduced our delivery times by six to eight minutes once we're able to accomplish that. And we continue to see strong guest feedback that's very positive about the experience. So we're going to continue to focus on delivery and off-premise execution to ensure that we're able to perform there, as well as we perform within the four walls of the restaurant; at the same time, make sure that that guest experience within the four walls of the restaurant is executing as well as it possibly can.
Unknown Speaker: That's very helpful. Thank you.
Operator: Thank you. And our next question comes from the line of Brian Bittner of Oppenheimer & Company. Your line is open.
Michael Tamas - Oppenheimer & Co., Inc.: Great, thanks. This is Mike Tamas on for Brian. Just curious if you could talk a little bit more about the internal initiatives. You talked about driving a better same-store sales. Maybe what are the top two or three things that you're focused on and are those going to continue for the rest of the year? Is there something new that we can sort of expect to see? Thanks.
David M. Gordon - Cheesecake Factory, Inc.: I just touched on the delivery and the off-premise sales, and we supported some of that with some marketing around that internally in the restaurant along with launching the online ordering which made the execution, from a guest perspective, even easier. And we're seeing some nice adoption right out of the gates there. So we believe that that also can be driving and is driving some incrementality. And then some of the social marketing campaigns that we did in the first quarter that we will continue to do around our fresh, made from scratch menu, which we're talking about a bit more with our guest along with some of the Made With Love videos that we had out, the amount of influencers that we engaged with in the first quarter was more than we had before. Last year, in 2017, we had over 4 billion impressions out on social media. And we have seen traction so far, and we do some internal reporting on the impact of those campaigns. And we saw very positive results in the first quarter from our guests when they were asked about their overall awareness, how they felt about the brand. And we saw meaningful uptick in all of our internal research that we did in the first quarter.
Michael Tamas - Oppenheimer & Co., Inc.: Got you. Thanks. And then you talked about the labor overtime being sort of an issue. If you're sort of already now planning for same-store sales to be a little bit better, is there an opportunity to sort of get past that issue as we move into the back half of the year and sort of schedule a little bit better?
Matthew Clark - Cheesecake Factory, Inc.: Yeah. I think it's less about the scheduling and more about just ensuring that you get to the right staffing levels to accommodate those traffic patterns. And certainly that's what the teams are working to do. And so, when we look forward I think that there is some opportunity to mitigate the overtime piece. I mean, obviously, the base wage has moved up as well. And so, I think it's about 50/50 between those two pieces. And we'll continue to work towards ensuring that we have that optimal staffing level.
Michael Tamas - Oppenheimer & Co., Inc.: Perfect. Thanks very much.
Operator: Thank you. Our next question is from the line of Will Slabaugh of Stephens. Your line is open.
Hugh Gooding - Stephens, Inc.: Yeah. Thanks, guys, and this is actually Hugh on for Will today. I was just wondering just more generally if you could give any color around kind of what you're seeing from the consumer level. Kind of after we've seen consecutive months and quarters of positive industry data, it seems like the consumer is getting better. Is there anything you've noticed on this front? And is any of that being factored into your guidance for kind of continued strength from the top line? Thanks.
Matthew Clark - Cheesecake Factory, Inc.: Well, I think what we said before we're starting to see some of it come to fruition on two fronts. First of all, it seems like the environment at least has stabilized, so we've always said that was the first piece and looking at sort of general patterns, it seems to be in a more normalized pattern and maybe that's lapping over some of last year, which was more of an anomaly. So, I think when you have a stable base and you start to have more predictability and then you have the initiatives that David Gordon talked about kicking in, we were able to re-grow comp store sales on top of that. So, I guess I would say in general we see it being more normal. I think that normal was better than last year where you saw a significant pullback in some of the retail metrics, and it seems to be incrementally moving forward throughout the year. So, I think those are positive signs. When we look at our data, we definitely see tighter bands of performance, whether that's geographical or day-to-day or day part. Those are also I think very positive indicators for us where we see just less of a standard deviation of performance between locations. So, it seems to be going in the right direction from a consumer standpoint.
Hugh Gooding - Stephens, Inc.: I appreciate it.
Operator: Thank you. Our next question comes from the line of Mary McNellis of Baird. Your line is open.
Mary L. McNellis - Robert W. Baird & Co., Inc. (Broker): Good afternoon. Thanks for taking the question. I want to ask about the comps guidance for Q2 in 2018, factoring out the Easter benefit that you saw in Q1, the guidance for Q2 in the second half of the year assumes roughly similar trends as what you saw in Q1, even though the comparisons are a little bit softer. So, could you just provide a little bit of perspective on how you're thinking about maybe the comparison for the balance of the year and maybe what that assumes for the industry?
Matthew Clark - Cheesecake Factory, Inc.: Sure. So, I think if you net out the 50 basis points to 80 basis points of the spring break, it's roughly a 1.5% comp in the first quarter and granted that's lapping the toughest for us. So, if you look at then the second quarter in the back half of the year, we really took the back half up about 1%, whereas the first quarter was up about 0.5% over where we thought it would be. So, I think we're anticipating some modest acceleration on the comp. I think it's a little bit too early to know for sure how much of that will lap a 100%. So, I think we're comfortable taking up incrementally quarter-to-quarter. And again thinking about second quarter, it's about the same. So, the 0.5% to 1.5% if you add in the 50 basis points to 80 basis points is really a 1% to 2% which is about a 1% up from where we originally had it. So, I think we're saying that there's some maybe 0.5% more incrementality than we saw in the first quarter as we go forward. And we'll see how much we lap in the second quarter and adjust appropriately.
Mary L. McNellis - Robert W. Baird & Co., Inc. (Broker): Thanks for the perspective. And then just one more for me, the five-year unit growth targets that you've laid out call for a step up in the unit growth rate relative to what you're anticipating for 2018. So, I was wondering if you could talk a little bit about how the path to ramping up that pace of unit growth might play out particularly as it relates to 2019?
Matthew Clark - Cheesecake Factory, Inc.: I think we'll provide more detail about 2019. We usually do that in the October call, but I think part of it this year as we've talked about before is we're being cognizant of the capital costs and some of the construction that's driven really by also some of the labor increases. And so, I think we tend to provide annual guidance with respect to unit development. We'll definitely do that for next year. But I would generally assume it would be a step function if we make one of the acquisitions and then it would be relatively linear increases from there.
Mary L. McNellis - Robert W. Baird & Co., Inc. (Broker): Thanks very much.
Operator: Thank you. Our next question comes from the line of Matthew DiFrisco of Guggenheim Securities. Your line is open.
Matthew Kirschner - Guggenheim Securities LLC: Hi, this is actually Matt Kirschner on for Matt. Thanks for the question. I just want to dig in a little further into the off-premise opportunity. Do you still forecast roughly 13% to 14% growth in 2018 or actually as a percentage of sales?
David M. Gordon - Cheesecake Factory, Inc.: We do. I think the fourth quarter was right about at 14% and we're seeing the same thing in the first quarter. So we would hope for about 1% growth in that area over the next few years on an annual basis and that's what we've seen so far and I don't see any reason why that can't continue.
Matthew Kirschner - Guggenheim Securities LLC: Great. And then roughly 3% would be attributed to delivery?
David M. Gordon - Cheesecake Factory, Inc.: It sort of depends on the market, 2% to 3%.
Matthew Kirschner - Guggenheim Securities LLC: Okay. And then last, just any noticeable difference on your consumer that gets delivery or to-go from your traditional in-store diner?
David M. Gordon - Cheesecake Factory, Inc.: We do see maybe a little bit higher incident rate on desserts. And the check itself tends to be a little bit higher. It appears to be a party of two in general that's ordering for delivery and a slightly higher dessert incident rate.
Matthew Kirschner - Guggenheim Securities LLC: Great. Thanks for the color.
Operator: Thank you. Our next question is from the line of Jeff Farmer of Wells Fargo. Your line is open.
Jeff D. Farmer - Wells Fargo Securities LLC: Great, thanks. Just wanted to start with a clarification, so does the $2.62 to $2.74 EPS guidance include the $0.06 of insurance cost headwind and $0.05 legal cost headwind or exclude it? I missed that. I'm sorry.
Matthew Clark - Cheesecake Factory, Inc.: So that's the absolute number now, Jeff. It's a good question just to clarify. And so, essentially, if you think about at the high end, we took out the $0.06 in the insurance, but that will recoup the $0.05. And then really if you think about, we took the comp store sales up a little bit, but adjusting for some of the labor pressures that kind of netted out on the bottom line.
Jeff D. Farmer - Wells Fargo Securities LLC: Okay. That's helpful. And then in terms of some of the labor productivity food cost efficiency efforts you guys have been discussing in the last couple of quarters, when was this technology rolled out across the system? And I'm just curious; if you're done with the rollout to the 1Q restaurant level margin, see the full benefit of those cost efficiency efforts.
Matthew Clark - Cheesecake Factory, Inc.: Well, we continue to see gains particularly within the food efficiencies area from the technology that we rolled out. So I think that that's an ongoing benefit particularly as we continue to grow. And if you're adding comp store sales, it makes it a little bit easier from the food cost side. And we continue to be able to leverage that particularly relative to the commodities inflation that we're seeing. So I think that there's ongoing benefit and we continue to improve there. On the labor side, with respect to scheduling and some of the opportunities that we have, I think as we see the traffic patterns increase, but maybe stabilize, we'll be able to recapture a little bit of that. But we were just making sure that we got back up to the right staffing levels in order to accommodate it.
Jeff D. Farmer - Wells Fargo Securities LLC: Okay. And just last unrelated question, following up from the Fox Restaurant Concepts investment, is there any color that you guys can provide at all in terms of unit growth rates since you've been involved? Is it accelerating top line, anything like that just in terms of the health of these two concepts as you're watching them closely as potential future growth vehicles?
Matthew Clark - Cheesecake Factory, Inc.: We're really happy with the partnership, and we think Sam Fox and his team really are great restaurant operators, and that's why we made the initial investments. And they certainly are continuing to open restaurants in both concepts this year and growing the base there. And I think they're growing each of the concepts maybe five to six locations annually at this point in time. And the returns and the overall sales and profitability metrics are strong. And so, they support our continued investments. And we look forward to continuing to watch it and support them over the next couple of years.
Jeff D. Farmer - Wells Fargo Securities LLC: Thank you.
Operator: Thank you. Our next question is from the line of Karen Holthouse of Goldman Sachs. Your line is open.
Jared Garber - Goldman Sachs & Co. LLC: Hi. This is actually Jared on for Karen. I just wanted to step back for a second and talk about pricings. I know on the last call you guys talked about more of a market-based pricing approach, where you're seeing labor inflation a bit higher. Is that what was driving up the price this quarter in those certain markets, or was it more of a broad acceleration in price across the portfolio?
Matthew Clark - Cheesecake Factory, Inc.: Yeah. Thank you. That's a great question, Jared. You have to think about pricing today a little bit more bifurcated in those areas that maybe have higher wage inflation, but then also can support it. And so, we've talked about California and the minimum wage increase there, but it's also one of our strongest markets. And so, that's in average and certainly we are continuing to take a little bit more pricing in those areas and a little bit less pricing than the average in the rest of the country.
Jared Garber - Goldman Sachs & Co. LLC: Thanks. And if I could just follow up with one quick housekeeping. Did you guys mention the Grand Lux comp in the quarter?
Matthew Clark - Cheesecake Factory, Inc.: It was down 1.5%. We saw a little bit of pressure in Vegas, which, as you know, can swing that measurably. So pretty much in line with the industry given that movement.
Jared Garber - Goldman Sachs & Co. LLC: Thank you.
Operator: Thank you. Our next question is from the line of Stephen Anderson of Maxim Group. Your line is open.
Stephen Anderson - Maxim Group LLC: Yes. Good afternoon. I know in the past quarters you've talked about some of the increased competition from a lot of the mall-based restaurants and maybe having that pressure comps, about 2017. I just want to ask if you've seen any impact from that – if you are going to see that and you see a like a lot of the – maybe independents, maybe some of the smaller chains continue open restaurants. Because I think if you look at some of the NPD CREST data showing that the non-chain restaurants actually started to pull back at the 12%, just want to see what we were seeing out there?
Matthew Clark - Cheesecake Factory, Inc.: I think one of the themes that we've talked about over the past couple of years when we say things sort of normalizing and coming to fruition is just on the overall supply side of restaurants. And while it probably accelerated too fast in 2015 and 2016, I think we're finally seeing that in total come more in line and actually starting to see a reduction and some closures. And so, I think overall, we're getting a little bit more back to equilibrium and I think if that continues throughout this year that will also be a benefit potentially to comps.
Stephen Anderson - Maxim Group LLC: Thank you.
Operator: Thank you. Your next question is from the line of Nick Setyan of Wedbush Securities. Your line is open.
Nick Setyan - Wedbush Securities, Inc.: Thank you. Just a quick question on the insurance costs. Could you clarify to what extent that was in labor and to what extent that was in other OpEx?
Matthew Clark - Cheesecake Factory, Inc.: That's about 50-50 and we really didn't change the balance of our year. This is claims driven as we noted being self-insured, but of the impact, Nick, it's about half in labor and half in other OpEx.
Nick Setyan - Wedbush Securities, Inc.: Okay. And in terms of the pricing, 2.7% was slightly above the mid-2s or the 2.5% that at least I was expecting. Is that kind of the right level to think about going forward? Maybe the mid-2%, high 2s or could that come off a little bit as the year progresses?
Matthew Clark - Cheesecake Factory, Inc.: So I think in this environment particularly with the labor piece, what we've talked about is mid 2s to high 2s. And so I think where we're at today is just a good rough number for you to use going forward at this time.
Nick Setyan - Wedbush Securities, Inc.: Thank you very much.
Operator: Thank you. Ladies and gentlemen, this does conclude today's question-and-answer session. Thank you for your participation in today's conference and this does conclude the program. You may now disconnect. Everyone, have a great day.